Operator: Good day, and thank you for standing by. Welcome to the RBC Bearings Fiscal 2022 Third Quarter Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session.  Please be advised that today’s conference is being recorded.  I would now like to hand the conference over to your host today, Mike Cummings with Alpha IR. Please go ahead.
Mike Cummings: Good morning, and thank you for joining us for RBC Bearings fiscal 2022 third quarter earnings conference call. With me on the call today are Dr. Michael J. Hartnett, Chairman, President and Chief Executive Officer; Daniel A. Bergeron, Director, Vice President and Chief Operating Officer; and Robert Sullivan, Vice President and Chief Financial Officer. Before beginning today’s call, let me remind you that some of the statements made today will be forward-looking and are made under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those projected or implied due to a variety of factors. We refer you to RBC Bearings recent filings with the SEC for a more detailed discussion of the risks that could impact the Company’s future operating results and financial condition. These factors are also described in greater detail in the press release and on the Company’s website. In addition, reconciliation between GAAP and non-GAAP financial information is included as part of the release and is available on the Company’s website. With that, I’ll turn the call over to Dr. Hartnett.
Michael J. Hartnett: Okay. Thank you, Mike, and good morning to all, welcome. This is our first quarterly report after completing the acquisition of Dodge Industrial Products division from Asea Brown Boveri of Switzerland on November 1, 2021. Two months of Dodge operational performance are included in this report, but three months of financial drag was experienced as we work through the acquisition mechanics through October and acquired the company on November 1. We are pleased and excited to welcome the Dodge businesses and teams into RBC Bearings family and look forward to and can fully visualize a long, fruitful, and mutually beneficial relationship for our investors, employees, customers, and suppliers. The Dodge businesses materially strengthen our industrial offering and positions us very favorably relative to large and important base of customers with an exciting new platform of products, and I’ll talk more about this later. In summary, RBC Bearings net sales for the third quarter of fiscal 2022 were $267 million versus $145.9 million for the same period last year, an increase of 83%. Dodge sales were $110 million over the two-month period. For the third fiscal quarter of 2021, the sales of industrial products represented 65% of our net sales with aerospace products representing 35%. Adjusted gross margin for the quarter was $100.3 million or 37.6% of net sales. This compares to $56.4 million or 38.7% for the same period last year. Adjusted operating income was $44.8 million, 16.8% of net sales compared to last year’s $27.9 million and 19.1% of net sales. EBITDA for the – was $71.4 million or 26.7% of net sales, compared to $41 million and 28.1%, a 72.8% increase. As others have reported and we concur, the industrial demand today is through the roof. While industrial sectors we serve are performing, demand for industrial products, in many cases, exceeds our capacity, mostly as a result of supply chain constraints, particularly at the Dodge businesses. We have worked through these constraints with vigor over the past nine months and seen improvements ahead. That is a problem that will linger and continue to bite our ankles at least for the first half of fiscal 2023. A sample of important sectors we serve with their strengths are mining, sand and gravel, taconite, both surface, and subsurface. Steel shortages today drive substantial demand here for our products. Construction is strong. Aerospace  has a very strong outlook for currently and in 18 months, we expect the increase in order flow from the infrastructure bill for highways and bridges, which has been the typical lead-lag equation in that sector. Food and beverage, proteins, beef, cattle, turkey, chicken, canning continues to grow with increased demand for our new product offerings. Oil and gas is very strong, and I’m sure everyone knows the story here when you fill up your tank. In warehousing, it’s a great rush to build fulfillment centers to supply the last mile – to support the last mile strategies underway by Amazon, Tractor Supply, Home Depot, Walmart, Target, et cetera. Our products are well integrated into these new businesses. Semiconductor machinery, very strong. Billions for new plants have been announced by Intel, Samsung, Taiwan Semiconductor and many others. And industrial distribution is a result of all the demand for the previous sectors mentioned, continues to be strong and that sector is consolidating. To summarize, we are making as much as we can in every site where we have industrial production. Turning now to aerospace and defense. Our third quarter fiscal 2022 net sales were up by 3.5%, led by aircraft OEM, which is up by 10.5%. Weak defense sales held down the expansion. These can be lumpy quarter-to-quarter depending upon build schedules and milestone achievements in our plants, but we expect these to normalize by the end of the year. Also postponement of the 787 production dampened the OEM rate, capping it at the 10.5% previously mentioned. Our backlog for this sector is up over $80 million, and we are planning for a major volume expansion beginning next year as Boeing and Airbus expand build rates for their single-aisle planes and Dreamliner production results. Important airframes in our lineup are the 737 MAX, 787, 777X, the 777, the A320, and the A350. We’re visited often by the major plane builders to make sure that we have enough capacity in our plants to service the demand that is ahead in the succeeding quarters. So regarding our fourth quarter, we are expecting sales of between $340 million and $350 million in total. And I’ll now turn the call over to Dan and Rob for more details on the financial performance.
Robert Sullivan: Thank you, Mike. Expanding on gross margin that Mike already covered, gross margin for the third quarter of fiscal 2022 was affected by a $7.0 million inventory step-up related to the Dodge acquisition. Fourth quarter fiscal 2022 gross margin is expected to be affected by a $6.8 million inventory step-up related to the acquisition. SG&A for the third quarter of fiscal 2022 was $43.2 million, compared to $25.7 million for the same period last year. Excluding $12.0 million in costs from the Dodge business, the increase is primarily associated with an increase in personnel costs year-over-year. As a percentage of net sales, SG&A was 16.2% for the third quarter of fiscal 2022, compared to 17.6% for the same period last year. Other operating expenses for the third quarter of fiscal 2022 totaled $35.8 million, compared to $3.3 million for the same period last year. For the third quarter of fiscal 2022, other operating expenses included $23.5 million of costs associated with the Dodge acquisition, $12.1 million of amortization of intangible assets and $0.2 million of other items. Other operating expense for the same period last year consisted mainly of $2.6 million of amortization of intangible assets, $0.5 million of restructuring costs and related items and $0.2 million of other costs. Operating income was $14.4 million for the third quarter of fiscal 2022 compared to operating income of $26.5 million for the same period in fiscal 2021. On an adjusted basis, operating income would have been $44.8 million for the third quarter of fiscal 2022 compared to adjusted operating income of $27.9 million for the third quarter of fiscal 2021. Other non-operating expense was expense of $1.4 million for the third quarter of fiscal 2022, compared to income of $0.1 million for the same period last year. For the third quarter of fiscal 2022, other non-operating expenses were comprised of $0.9 million of charges associated with the elimination of a domestic debt facility, $0.4 million of postretirement benefit costs and $0.1 million of other items. For the third quarter of fiscal 2021, other non-operating income was comprised of $0.5 million of gains on marketable securities, partially offset by $0.2 million of foreign exchange loss and $0.2 million of other items. For the third quarter of fiscal 2022, the company reported a net loss of $0.1 million, compared to net income of $21.6 million for the same period last year. On an adjusted basis, net income was $26.1 million for the third quarter of fiscal 2022, compared to $22.7 million for the same period last year. Net loss available to common stockholders for the third quarter of fiscal 2022 was negative $5.8 million compared to net income of $21.6 million for the same period last year. On an adjusted basis, net income available to common stockholders for the third quarter of fiscal 2022 was $20.3 million compared to $22.7 million for the same period last year. Adjusted cash net income available to the common stockholders for the third quarter of fiscal 2022 was $42.2 million compared to $33.9 million for the same period last year. Diluted earnings per share was negative $0.20 per share for the third quarter of fiscal 2022, compared to $0.86 per share for the same period last year. On an adjusted basis, diluted EPS for the third quarter of fiscal 2022 with $0.70 per share compared to adjusted diluted EPS of $0.90 per share for the same period last year. Diluted cash EPS was an adjusted $1.46 per share for the third quarter of fiscal 2022 compared to $1.35 per share for the same period last year Adjusted cash net income and adjusted cash earnings per share excludes non-cash expenses for depreciation and amortization of fixed and intangible assets, stock compensation and amortization of deferred financing fees, net of their income tax impact. We believe that adjusted cash net income and adjusted cash earnings per share are useful in assessing our financial performance by excluding items that do not affect the cash available to common stockholders. Turning the cash flow, the company generated $40.0 million in cash from operating activities for the third quarter of fiscal 2022 compared to $36.1 million for the same period last year and $133.4 million in cash from operating activities for the nine-month period fiscal 2022 compared to $110.6 million for the same nine-month period last year. Capital expenditures were $14.9 million for the third quarter of fiscal 2022 compared to $2.8 million for the same period last year, approximately $6.2 million of capital spending this quarter was related to the Dodge acquisition and they were submitted post closing purchase price adjustment costs. Total debt as of January 1, 2022 was $1,790 million and cash on hand was $255.5 million. I would now like to turn the call back to the operator for the question-and-answer session.
Operator: Thank you.  And our first question comes from line of Pete Skibitski with Alembic Global. Your line is open. Please go ahead.
Pete Skibitski: Yes, good morning, guys. Mike, I missed a little bit, did you say Dodge contributed to a $100 million in sales in the quarter or $110 million? I missed that.
Michael J. Hartnett: I think, it was $110 million. Yes, $110 million.
Pete Skibitski: $110 million. Okay. Okay. And can you give us what they contributed in terms of backlogs, because backlog was up sequentially pretty meaningfully.
Michael J. Hartnett: I think it was about $50 million.
Pete Skibitski: $50 million. Okay. Okay. So did your organic industrial sales rise, because it sounds like everything’s going great guns, but did you have any issues that slow to your organic industrial sales at all?
Michael J. Hartnett: No. I mean, organic industrial sales are up, everything’s up. Yes. Our legacy RBC industrial business was up close to 26%.
Pete Skibitski: Okay. Okay. I’ll look at that. Mike, so let me ask one more. There’s kind of a perception out there I think in the broad market that ISM, PMIs have dipped below 60, there’s maybe a little bit of a growth scare out there combined with inflation rising. You’re not – it sounds like to me, you’re not seeing any kind of a growth scare in your industrial markets. You’re talking about adding capacity and it sounds like you have some visibility to that as well. Is that a fair characterization?
Michael J. Hartnett: Well, I think we have half the capacity to meet demand. If we could get the supply chain to support us with the materials we need to execute. Right now, the – that’s a bit out of balance. And so all the work is going into fixing that supply chain problem and everybody has that problem, it’s – I’ve listened to the other conference calls, they’re all talking about it. And we have it too.
Pete Skibitski: Okay. Understood. And so maybe one for Rob, so this is the segmentation going forward. It’s going to be aerospace and industrial and will we get kind of the historic for FY2022 and FY2021 for those – for the new segmentation.
Robert Sullivan: You’ll see in the queue that comes out this afternoon, the nine month period year-over-year for the aerospace defense versus industrial. And then that’ll walk you down the line as you’d expect, and then at year end, you’ll see the full 12 month picture.
Pete Skibitski: Okay. Okay. Okay. Thanks guys.
Operator: Thank you. And our next question comes from the line of Kristine Liwag with Morgan Stanley. Your line is open. Please go ahead.
Kristine Liwag: Hey, guys. Good morning.
Michael J. Hartnett: Good morning, Kristine.
Kristine Liwag: So congratulations on closing on the Dodge deal. Can you provide an update in terms of how integration is going so far? I know it’s a little bit early here. But what are you most focused on in the near-term that we should watch out for? And is there anything unexpected that has come up so far?
Michael J. Hartnett: Well, I would – there’s always the unexpected with regard to an acquisition. And I would say, the unexpected here is not – hasn’t been material. It’s just been sort of normal to changes in ownership. So I don’t – I think one of the things that we’ve had to deal with in the acquisition is that they basically moved their entire corporate headquarters to another site sort of in December and into January. And they’re still sort of settling out that site today. So that’s not a normal thing that we experience with an acquisition and particularly one of this size. So that was a little bit challenging. I think also the – just getting our computer systems in place and currently we have an agreement with ABB to support us with their computer systems until ours are in place. And so that’s taking a lot of focus and effort and BTUs and it’s – we’re working through and it’s making the progress it should make.
Kristine Liwag: Thanks. That’s helpful color. And then thinking – I mean, you guys provided a revenue outlook for next quarter. How should we think about the gross margin mix there? Because you’ve got your volume mix, but we’ve also got some of the acquisition noise. How should they think about the normalized level of gross margin?
Daniel A. Bergeron: So I think for next quarter, this is Dan. For the fourth quarter, we should expect to see gross margins be at least 1% better than what we experienced in Q3. And then I expect to see that again in the first quarter of the following year. But we’ll be able to give you more color on that on Q1 and Q2 of next year once we get on the conference call at the end of the year. But just keep in mind that for Dodge, it’s two months in there. And like RBC, it’s the two worst months of the year, right? It was November and December, which is packed full of holidays and the least amount of production days.
Kristine Liwag: I see. And Dan, just to confirm, you said that’s a 1 percentage point increase in gross margin sequentially next quarter versus this quarter, right? That’s not a year-over-year number?
Daniel A. Bergeron: Yes.
Kristine Liwag: Okay. Great. And then if I could squeeze in one more. What are you guys seeing from a supply chain and inflation standpoint? What are you seeing in terms of unexpected price increases? And how are you able to – or to what degree are you able to pass it through your customers?
Michael J. Hartnett: Well, the supply chain for November and December, kicked Dodge right in the shin. And so that impacted their gross margins. I don’t think anybody expected to see what we saw and – but it was what it was. And we rectified the situation in January.
Kristine Liwag: Well. So can you guys provide a little bit more color in terms of what you had to do to rectify that? And what gives you the confidence of that 1 percentage point gross margin increase next quarter, because that’s a pretty meaningful jump, especially with the headwind you mentioned.
Michael J. Hartnett: Well, we did a few things. One of the things we did was increase prices. And the next thing, we did was do some account management that was – we thought could lead to significant improvements…
Kristine Liwag: Great. And I’ll pass it off to the next person. I appreciate the time, guys.
Operator: Thank you. And our next question comes from the line of Joe Ritchie with Goldman Sachs. Your line is open, please go ahead.
Joe Ritchie: Thanks. Good morning, everyone.
Michael J. Hartnett: Good morning, Joe.
Joe Ritchie: So maybe just – I know you gave us some color around aero trends this quarter. I’m curious like how does your MRO business trend this quarter? And then can you maybe give us a little bit more insight on the defense business? I think you guys called that out as being a little bit weaker. And I guess we’re hearing from some of the other companies we cover that U.S. defense is probably going to be a little bit weaker throughout 2022. So any color there would be helpful.
Michael J. Hartnett: Okay. So Joe, what was your first question?
Joe Ritchie: Just really about the aero aftermarket MRO business and how that business did this quarter?
Michael J. Hartnett: Well, we don’t have much business in the aero aftermarket, but the aero aftermarket that we do have is doing quite well. And so that business is up and approaching pre-pandemic levels. Isn’t there yet, but we can see it getting there. It’s doing very well. A lot of our call, what they call aftermarket is really aircraft distribution. And that aircraft distribution is through – is both aftermarket and also the aircraft distribution supplies small and maybe not so small subcontractors to the major builders. And so they’re going to wax and wane with build rates.
Joe Ritchie: Got it. That makes sense. And what about on the defense side, just the commentary around U.S. defense?
Michael J. Hartnett: The defense business, we have pockets of weakness and pockets of great strength. And normally, where we have – and where we have pockets of great strength, we have very complex products that are not easy to make, and that’s why they come to us to make them. And sometimes they don’t go out the door when they’re supposed to go out the door according to our plan. And that’s what happened in the quarter. And we expect to rectify a good part of that in the fourth quarter.
Joe Ritchie: Got it. Okay. That’s helpful. And maybe one last one for me, being the new person on the block covering you guys. I’m just curious, just in terms of the disclosures and now that you’ve got industrial and aero, much bigger businesses, like is there any thought around providing a little bit more detailed granularity around like the margins of these businesses, so we can see kind of like the mix impact going forward a little bit easier?
Michael J. Hartnett: Well, if you could kind of guarantee our competition wouldn’t read that report, we would be happy to give it to you. It’s pretty confidential.
Joe Ritchie: Yes. But I can’t guarantee that – I’m sure they’d be interested in it.
Robert Sullivan: You will at least get – within the segment footnote, you’ll get the definition of the aerospace defense versus industrial, and then we will have the gross margins for each of the segments as you’d expect. So that will be in the queue.
Joe Ritchie: Okay, great thanks guys I will pass it on.
Operator: Thank you.  And our next question comes from the line of Michael Ciarmoli with Truist Securities. Your line is open, please go ahead.
Michael Ciarmoli: Hey good morning guys. Thanks for taking the questions. I guess one first – It looks like looking at the segment level data for industrial and Aero on the trailing basis, you made some adjustments to last year’s number. What moved out of, I guess, the industrial segment and into aerospace?
Michael J. Hartnett: The biggest component of the move, Mike, was the marine business, right? The marine business is historically classified within industrial, but it’s a defense product. So it was moved over with aerospace and defense.
Michael Ciarmoli: Okay. Got it. Okay. That makes sense. And then are you guys planning to give us any more detail on ongoing costs here for modeling purpose? I mean, I know you have the transaction cost, you spelled out the amortization. But do you have an expectation of what we can expect for integration costs, the full sort of amortization? Were there any other fair value step-ups or do you plan to disclose that just to kind of help us with modeling here?
Michael J. Hartnett: Yes. I mean as we mentioned earlier, we’ve got about another $6.8 million in the step-up of amortization of the inventory that will come out in the next quarter. We’ve incurred I would say the majority of the onetime acquisition cost, there will still be, I’d say, $0.5 million to $1 million of additional costs in the fourth quarter, kind of onetime costs there. And then the TSA costs, we’re probably expecting another $4.5 million next quarter. And those are bridged out over the 12 months after the acquisition close date of 11/01, and they’ll slowly fall off. So, we’ll have more color to offer on the next call.
Robert Sullivan: And depreciation and amortization – it is around $110 million.
Michael J. Hartnett: That’s right. So depreciation and amortization is going to be just under $28 million next quarter total.
Michael Ciarmoli: Okay. Got it. Got it. And are you guys – when you announced this, you talked about a $7 to $8 EPS range, I guess, cash EPS. I guess I’ve never seen anybody add back depreciation. And if I did an apples-to-apples, I mean, you guys did $7.15 in fiscal 2020, adding back depreciation, adding back stock comp. I mean, it seems like that 7% to 8%, again, adding back depreciation, I know you’re trying to get a cash number, but it probably should deduct the CapEx and it almost seems like it’s a free cash flow number. I mean what’s the – I’ve just never seen that before. Just wondering what the thought process there was?
Daniel A. Bergeron: Yes. It’s just our – this is Dan. It’s just our view of cash EPS. So just taking our net income available to shareholders and if we didn’t have these noncash items, tax effective, what would be the cash EPS number. So, we define it in the press release. We gave you a breakdown exactly how it’s calculated. And it’s just a way that we’re measuring our performance on our cash EPS number.
Operator: Thank you. And our next question comes from the line of Steve Barger with KeyBanc Capital Markets. Your line is open, please go ahead.
Steve Barger: Hey good morning guys. Sorry, I got on the call a little late, so hopefully this isn’t redundant. But trailing 12-month revenue for Dodge was around $620 million, if I’m remembering right. And I think that’s what we basically track to this quarter for the two-month contribution. How should we think about organic growth on that trailing 12-month base or trailing quarter base in 4Q? And how does that compare to ROLL organic for industrial?
Michael J. Hartnett: Well, I think their organic growth is to some extent muted by supply chain and their organic growth could be sort of where ROLL’s organic growth is. We don’t have the kind of supply chain issues that they have. We’re a little bit more vertically integrated. And as a result of that, we avoid some of that. So their organic growth will certainly be up double-digits and probably be in the low double-digits, but it could be better than that if they can get on the other side of these supply chain issues.
Steve Barger: And did you say what you expect for your – the legacy business for lack of a better term, will do an organic growth for 4Q?
Michael J. Hartnett: We didn’t say it, but...
Steve Barger: Would you like to?
Michael J. Hartnett: Well, it’s going to be in the upper single digits. That’s where we’re modeling.
Steve Barger: So Dodge will actually do better. I thought you said low double-digit there, and you’re saying upper single-digits for your – the legacy business?
Michael J. Hartnett: Yes.
Steve Barger: Okay. And how are you seeing growth for – since they have so much aftermarket exposure, what’s their aftermarket growth rate versus OEM? Is that growing faster for them?
Michael J. Hartnett: It’s sort of an 80-20 thing where 80% of their business is what they call aftermarket or distribution market. So it’s so biased towards that 80% that the 20% doesn’t create much sway. And certainly, the difficulty right now is servicing that 80% and servicing it well.
Steve Barger: Right. And I know in general, Dodge has good margins, but are there any product lines you need to reprice or exit there now that you’ve gotten in to look at the whole portfolio?
Michael J. Hartnett: The short answer there is yes.
Steve Barger: Is that a sizable portion of the portfolio? Or is that pretty small?
Michael J. Hartnett: It’s – it’s not small, but it’s relative to the size of Dodge, it’s not material either.
Steve Barger: Right. And now that you’ve been through the factories more in detail. Do you see opportunities for automation or robotics to drive some efficiency or productivity? Or are they pretty well optimized in terms of that kind of historical CapEx for programs?
Michael J. Hartnett: For the most part, I would say 75% of their factories are pretty optimized. There’s still 25% that that can do better and that basically they just haven’t gotten too. They’ve been working through it one factory at the time. So there’s still some upside there.
Steve Barger: Got you. And just last one. I know there’s always a lot of charges and adjustments when you’re integrating a big acquisition. But just, I guess, supply chain notwithstanding, when would you expect that we start to see what we can consider more normal free cash flow from the complete portfolio?
Robert Sullivan: I would say as we enter into the first quarter of next year, you’ll start to see it.
Michael J. Hartnett: Yes. I think Q4 will be pretty clean too – so I think you should see pretty clean slate on Q4.
Steve Barger: Okay. And can you remind us what do you expect the entire portfolio will run in terms of a free cash flow margin or just what you convert free cash flow from revenue?
Robert Sullivan: We haven’t given that number, but we definitely will at the end of May when we’re talking about fiscal year 2023, and we have a full year Dodge baked into our forecast and a full year of RBC baked in.
Steve Barger: All right guys, thanks.
Operator: Thank you. And we have a follow-up question from the line of Pete Skibitski with Alembic Global. Your line is open. Please go ahead.
Pete Skibitski: Yes. Just a couple of other modeling questions. The inventory step-up that you gave for the third quarter and the fourth quarter, does that stay in the income statement for kind of that midterm kind of time horizon for that $6 million to $7 million type of a level?
Robert Sullivan: No. That will be after the fourth quarter, we should be all set with that one.
Pete Skibitski: Okay. That’s gone. And then just in terms of – you guys put out that adjusted EBITDA margin goal of – I think it was in the mid-30s, I believe – can you – do you have a sense of what the components of that are? Is it half and half gross margin, SG&A improvements? Or any – maybe you could walk us through a little bit of how you intend to reach those goals?
Robert Sullivan: I don’t have the exact math to tell you, but I can tell you is that, as Dan alluded to, we’re expecting steady strong gross margin improvement in the coming quarters, which is going to bleed right into that. And then the SG&A, you can see the consolidated SG&A this quarter at 16% as we start to feel another full quarter of Dodge in there, the percentage of the SG&A as a percentage of sales will continue to bleed down to the EBITDA line and really benefit that number. So that kind of directionally will start to take us and where we want to get to.
Michael J. Hartnett: And Pete, I think you are referring to also the synergies that we were anticipating on the business end. And I’d say that was probably broken down 60-40, 60 impact in sales, COGS, and 40 impact in SG&A. And all those programs, we’ve started, but it’s only been two months in, right? So – but I think we’re more than well on target for what we thought fiscal year 2023 would be on our synergies. So I think we’ll probably be ahead of the game for what we anticipated for the first year on synergies. And we’ll report more on that, on the fourth quarter when we have more firm numbers and what to talk about.
Pete Skibitski: Great. Appreciate the color. Thank you.
Operator: Thank you. And our next question comes from the line of Kristine Liwag with Morgan Stanley. Your line is open. Please go ahead.
Kristine Liwag: Hey guys, thanks for taking my follow-up. Mike, earlier, you mentioned on my question about unexpected things that you found at Dodge. I guess, like with the supply chain issue, the inflation issue is solved already. And now you guys have had time to look at all the factories thoroughly. Is there a reason to change or is there a change in terms of your expected run-rate synergy of $70 million to $100 million annually by the fifth year of the acquisition close? Do you see potential upside to that number or downside to that number from what you’ve seen so far?
Michael J. Hartnett: Well, when we’ve gone through the factories and got a sense of where the easy synergies are. And so we kind of want to line those up first, I think the consideration here is if we decide to use traditional RBC classic manufacturing capacity, what is the best use of that capacity? Is it to improve the gross margin, which is – there are some very obvious things that we could do if we embarked upon that path that we identified. And I think – but I think the – another alternative and early consideration is there are some growth opportunities in some of their products. If they had a more cost-effective way of getting those products to market. And right now, those products are somewhat throttled based upon cost price pressure – and so they promote them lightly. And there’s a lot of upside in the marketplace if those products could be manufactured with a better cost structure. So yes, I mean, do we want to chase the expansion in gross margin? Or do you want to chase the expansion in sales? Because once you commit to one of those paths, you de-commit to the other one. So we’re trying to make sure that we use – we make the best decision possible on what we can do to improve the operating results of the entire company.
Kristine Liwag: I see. I mean the net of that, right, is either through the gross margin expansion or revenue growth, you’re going to get some of these synergies either through cost synergies or revenue synergies. So my next question would be on a net basis, is that $70 to $100 million doable? Or is it looking like you could do a lot better?
Michael J. Hartnett: Well, we – if I say we’re going to do a lot better, are you going to make it 200?
Kristine Liwag: Well, I’ve covered you guys for a long time, and you always beat expectations. So I’m just trying to find where that happy medium is, but – and maybe it’s too early, but can you kind of hurts to try and ask, right?
Michael J. Hartnett: Yes. I think let’s leave the goalposts where they are right now. And we’re still working on the first phase of this.
Kristine Liwag: Great. Thanks, guys.
Michael J. Hartnett: Thanks, Kristine.
Operator: Thank you. And our next follow-up question comes from the line of Michael Ciarmoli with Truist Securities. Your line is open. Please go ahead.
Michael Ciarmoli: Hey guys, just one more on the supply chain. I know you talked about initially at Dodge, the $200 million of component cost per year. Has any of the tightness and bottlenecks in the supply chain given you the opportunity to accelerate? It sounded like initially, you were going to let contracts sort of run their course, but presumably with all suppliers dealing with extended lead times and higher prices. Have you thought about accelerating the in-sourcing of those components?
Michael J. Hartnett: Well, the major issues aren’t anything that we produce. I mean, we don’t make steel. And right now, the industry has a real problem on getting steel. And so everywhere in RBC and to a lesser extent, Dodge, we’re moving lead times out because we need to hedge our backlogs with regard to when we’re going to steel to use the product. So steel is – steel in some cases, has doubled. And so it’s something that I think the entire industry is wrestling with right now.
Michael Ciarmoli: Got it. Alright. Great thanks, guys.
Operator: Thank you. And I’m showing no further questions at this time. And I would like to turn the conference back over to Dr. Hartnett for any further remarks.
Michael J. Hartnett: Okay. Well, I appreciate your attention and your comments and questions this meeting, and we look forward to speaking with you again. I think it’s late May by the time we do this again, and we’ll have much more to speak about. And we expect we have some pretty good news by the end of May. So thank you, and good day.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.